Operator: Good morning, and welcome to the Techne Corporation's Earnings Conference call for its fiscal year third quarter 2014. [Operator Instructions] I would now like to turn the call over to Mr. Jim Hippel, Chief Financial Officer. 
James Hippel: Good morning, and thank you all for joining us as we discuss the results of our third quarter. With me this morning is Chuck Kummeth, Chief Executive Officer of Techne Corporation.
 But before we begin, let me briefly cover our Safe Harbor statement. Some of the remarks made during this conference call may be considered forward-looking statements. The company's 10-K for fiscal year 2013 and the 10-Q that will be filed for the fiscal quarter ended March 31, 2014 identify certain factors that could cause the company's actual results to differ materially from those projected in any forward-looking statements made during this call. The company does not undertake to update any forward-looking statements as a result of any new information or future events or developments. The 10-K and 10-Q, as well as the company's other SEC filings, are available on the company's website within its Investor Relations section.
 During the call, non-GAAP financial measures may be used to provide information pertinent to ongoing business performance. Tables reconciling these measures to most comparable GAAP measures are available in the company's press release issued earlier this morning or on the Techne Corporation website at www.techne-corp.com.
 So with that, I will turn the call over to Chuck. 
Charles Kummeth: Thanks. Good morning, and thank you for joining us today for our Q3 call. As stated in this morning's press release, I'm extremely pleased with the results for the quarter and the progress we've made year-to-date. Our team has executed very well, matching the overall organic growth rates we saw back in Q1. The U.S. held up well despite some severe weather conditions in the quarter and despite the continued spending pressure in the academic market.
 Europe's growth was just outstanding at near 8%. The Pac Rim continues to be strong in low-double digit. And while China struggled with some tough comps in January, they finished the quarter with strong growth rates. I'm still expecting China to end the year near 30% growth, coming off the strong commercial investments we made.
 Gross margins have remained solid, and expenses are within our plan as we continue to invest in new people, leaders, systems and technologies. We continue to execute on our strategy of delivering innovative core products to customers, over 1,300 year-to-date, and in expanding geographies. Our progress and results in Q3 and year-to-date, while a great improvement over last year, are closer to the beginning of this journey than to the end.
 Now I would like to introduce our new CFO, Jim Hippel, who started with the company on the 1st of April. He is on the call with me today, as he mentioned starting out, and will provide a review of our financial results for the third quarter. I will then address several recent events and then open to your questions.
 Jim, I turn it over to you. 
James Hippel: Thanks, Chuck. It's great to be here. And again, good morning, everyone. I'll begin with an overview of our Q3 and year-to-date financial performance for the total company, followed by some color on each of our 2 segments.
 So starting with the overall financial performance. We delivered a solid third quarter, with adjusted earnings of $34.7 million, or $0.94 per diluted share. That's a 6.9% increase over adjusted EPS of $0.88 in the third fiscal quarter of 2013. This brings our Q3 year-to-date adjusted earnings to 92.2 -- $92.9 million, or $2.51 per diluted share, an increase of 5.8% from the prior fiscal year-to-date period.
 As detailed in our press release, adjusted earnings and adjusted earnings per share, exclude acquisition-related costs, these are costs such as intangible asset amortization, costs recognized upon the sale of inventory that was written up to fair value and professional fees related to ongoing acquisition activity. Also excluded are prior year tax research credits that expired December 31, 2013, as well as the prior year reduction in U.S. taxes that changes the estimates related to foreign source income.
 On the top line, Q3 total revenue was $95.6 million, an increase of 18% year-over-year, and we delivered 5% organic growth. Q3 reported revenue include 11.5% growth from our acquisition of Bionostics back in July and about a 1% impact from foreign exchange.
 On a year-to-date basis, revenue now stands at $265.2 million, an increase of 15% year-over-year, with nearly 4% of that coming from organic growth.
 Moving on to the details of the P&L. Total company adjusted gross margin came in at 73.6% in the current quarter. That's down by about 410 basis points from the prior year due to mix changes associated with the acquisition of Bionostics last July. Excluding Bionostics, gross margins were essentially flat to last year.
 SG&A in Q3 was 15.3% of revenue, 300 basis points more than 2013 quarter. Approximately 1/3 of this basis point increase is associated with the acquisition of Bionostics. The remaining 2/3 of the increase is a result of commercial and leadership investments made earlier in the year.
 Finally, R&D expense came in at 8% of revenue for the quarter, that's 90 basis points below the prior year. Additional R&D spend resulting from the Bionostics acquisition, as well as some other development projects, was more than offset by the volume leverage seen from higher sales.
 Turning to cash flow on the balance sheet. The headline numbers for Q3 are $34.9 million in cash generated from operations for the quarter and $371 million of cash and available-for-sale investments at quarter end. We continue to have no debt.
 During Q3, we invested $4.3 million in capital expenditures and returned $11.4 million to our shareholders in the form of dividends.
 That wraps up my comments on the total company. Now I'll walk you through the revenue performance of our 2 business segments.
 Starting with the Biotechnology segment. As a reminder, this is the larger of our 2 segments, which develops, manufactures and sells biotechnology research and diagnostic products worldwide. It sells products under the R&D Systems, Tocris, Boston Biochem and BiosPacific brands. The Biotechnology segment reported $80.1 million of revenue and 5% organic growth in Q3. About 53% of biotech sales were generated in the United States during the first 9 months of this fiscal year. Within the U.S, the 2 biggest U.S. customer groups for biotech are the industrial market, which includes pharmaceutical and biotechnology companies of all sizes, and the economic research market. Sales to U.S. industrial customers in biotech grew 4% in Q3. This is consistent with the year-to-date performance and it's the fifth quarter in a row of improving sales.
 Sales to U.S. academic customers declined 12% in Q3 compared to last year. This decline is consistent with what we've seen for a couple of years. And as is widely known, the U.S. academic market is highly dependent on funding from the National Institute of Health, whose budget was drastically cut well over a year ago. Sales to U.S. academic customers now only comprise 12% of biotech's total revenue.
 Europe is our other major biotech market. About 29% of our biotech sales were derived in this region so far this year. Like the U.S., the major customer groups in Europe are the academic market and the industrial market, which include pharma and biotech companies. Sales in Europe rebounded from Q2, reporting a healthy 8% organic growth in Q3. Regionally within Europe, Germany posted a strong 20% organic growth. France was solid, with mid-single digit organic growth, and the U.K. experienced low-single digit organic growth.
 The industrial customer group led the growth in Europe, posting organic growth rates in the mid-teens, while academic customers grew modestly in the low single digits.
 Moving on to biotech sales in China. China experienced an expected tough comparable in the month of January, which limited their organic growth rate to 2% for Q3. However, the China team was essentially on their internal target for the quarter and experienced growth rates in February, March that were more comparable with Q2. China is an integral part of the company's growth strategy. And with the investments we made earlier in the year by expanding our sales staff, we expect future growth rates to increase beyond the 20% annual growth rate we'd experienced since we establish operations there in the fiscal year 2006.
 Generating an approximately 10% of the Biotechnology segment's revenue, Pacific Rim is another strategically important region for the company, where organic sales increased by 12% in Q3. Here, increased management focus and distributor collaboration in the region are paying off. The leading countries in this region are Japan, Korea and Taiwan.
 Now switching gears to our other segment, Clinical Controls. As a reminder, this segment develops and manufactures controls and calibrators for sale worldwide. It sells products under the R&D Systems and Bionostics brand. The Clinical Controls segment reported $15.4 million of revenue and 7% organic growth in Q3. Organic growth here excludes revenue from Bionostics, subsequent to the acquisition. The increase is driven by strong demand for its products and solid execution of the team.
 So with that, I will turn the call back over to Chuck for some additional comments. 
Charles Kummeth: Thanks, Jim. I'd like to add a few supplemental comments regarding our financial results for the third quarter of fiscal 2014 in the markets we serve. I will also make a few comments regarding our commercial and investment activity and a couple regarding the progress we are making with our strategic plan. I want to give you an update on the Fisher collaboration we began about a quarter ago. While still early and difficult to quantify the impact of the Fisher arrangement on some of our good results this quarter, we are confident we had some lift due to this. The teams are working well together. We have succeeded in linking our systems, and customers are reacting positively to the collaboration. I fully expect our growth to improve through this arrangement and view this as a win-win for both companies. Fisher benefits from this relationship because, when they lead in an account with high-value content like R&D Systems, they have the opportunity to dialogue with senior people in the labs and pull through many other product lines. We also continued to expand our cable network under the leadership of our new CTO, Dr. Fernando Bazan. We are focusing on areas in stem cell, cancer, immunology, enzymatics, disease biology and many others. Very encouraging that we have over 40 researchers all globally well-known in their fields collaborating with our scientists now. This is important for long-term organic growth since it is the key to innovation our business and very typical in the industry.
 Two weeks ago, we completed an initial investment in CyVek, a start-up instrument company based in Connecticut. CyVek has developed a new multi-analyte immunoassay testing platform. Our large antibody content, along with our expertise in immunoassay development, perfectly complements CyVek's advances in microfluidics and sensor technology to ensure high precision and sensitivity in test performance. The CyPlex system has some unique features and benefits that some of our customers have been reflecting. While this product will be formally launched in the fall, it is already undergoing rigorous beta testing at several large academic and industrial laboratories and was introduced to the field at the recent AACR meeting and on the R&D Systems homepage, garnering great interest from both academic and industrial attendees. This is a very exciting opportunity that promises to build further relationships with clinical, academic and biopharma labs. With milestones achieved, we fully intend to acquire the remainder of the company in the next 15 months.
 You may have also seen a press release last week announcing our acquisition of PrimeGene, an agile protein ration start-up in Shanghai with 50 employees and over 400 products. This acquisition allows us to have manufacturing capabilities in China to make products for the Chinese market. Additionally, PrimeGene's low-cost products will serve as a fighter brand to help us compete more effectively both in China and worldwide without diluting the R&D Systems brand.
 The PrimeGene team is a technically strong and ambitious group with -- and will work well with our existing China sales team. While small at the moment, PrimeGene is growing over 30% a year, rates comfortable to our organic growth in China with the investments we've made in people so far. With our technical and marketing help and global reach, there's plenty of upside to this investment.
 As I have indicated at different investor meetings and conferences, we are a company that's trying to change to become more visible and more vocal with a strategy, direction and results in this business. We see changes in the industry regarding academic and industrial spending, and we are addressing this. We see shifts to new technologies, like multiplexing, and we are addressing them. We are very focused on getting our commercial process strengthened. Investments in China and then in the U.S. have been critical to regain our inorganic growth trajectory.
 I believe innovation to be the long-term success factor in a science-driven company like ours, and we have made big steps to ensure we follow a set of product roadmaps that leverage our best technical platforms. Our new Chief Technology Officer has been a road warrior, creating strong new collaborations of key opinion leaders around the world.
 And with 130 PhDs and hundreds of researchers across our company, we will protect our strong franchise in areas like proteins, antibodies and assays that researchers have long known us for and come to R&D Systems for. Building now on that franchise with other platforms and brands like Tocris and PrimeGene and other, this is a natural and logical strategy to follow. My last comment is that we continue to attract great talent, and I see a bright future in this business, given the increasing needs in health care and then need to continue to understand human biological processes, which can shed light onto many pathologies.
 I think, with that, I'll turn back to Alisha, our moderator, who can now give directions for the Q&A portion of this call. Thank you. 
Operator: [Operator Instructions] And our first question is going to come from Dan Larry -- I'm sorry, Dan Leonard with Leerink Partners. 
Daniel Leonard: Question. We've heard different things from different companies, well, about their view of when the U.S. academic market is going to rebound. I'm curious, what's your view? Are you expecting improvements there in the second half of the calendar year? Or do you hold a different viewpoint? 
Charles Kummeth: Well, with the NIH funding being on a little bit above 3%, which is probably going to go more to wages and salaries and things, we don't see a great uplift. Now, the year-on-year comps start getting easier now. So I think you'll see all that play into everybody's results. I don't see a great lift. I think, as you see, our mix is going down in this area and much more towards industrial side, which we think is healthier. We still stay very focused on it. Our KOL strategy is entirely about that, and it's all about what's developed today is going to end up in industrial tomorrow. So it's important. But on -- it's not the great growth level in our strategy. I think it'll -- it won't get worse, but I don't think it will get a whole lot better. 
Daniel Leonard: That's helpful. And then on the investment in CyVek. Could you may be compare and contrast for me what that technology does versus what your capabilities already are through your Luminex relationship? 
Charles Kummeth: With that, we also have our Head of BD here with us who is the very technically better at this than I will, but Dr. Frank Mortari can explain that for us. 
Frank Mortari: Yes, Dan, the CyVek testing platform, we think, provides limited flexing capacity in immunoassay testing, along with a level of automations that customers are requesting. So the -- while at the same time also reducing the volume requirements in precious samples. So it provides a series of benefits that, I think, speed up the testing process. And also, it leverages exactly what we're known for, is the high -- and the depth of biological content that we've developed over the years. 
Charles Kummeth: So it's very important to know that this is not something that goes right straight after multiplexing. We still have strong relationships there, and they've all been in and they understand. This new device has no crosstalk. Over 4 analytes to begin with an hopefully moving up to more than that in the future. And the dynamic range is over 4 logs. So it's very sensitive and very fast and with a very small sample, as Frank pointed out, it's the kind of test that we're excited about because we think microfluidics is -- it's a trend that we have to deal with as a reagent provider anyway. So clear dollar strengths. And of course, to looking us is the people who are going to develop the panel and have the best -- the ability to create the right panels and assays on top of the instrument. 
Daniel Leonard: Got it. And then, my final question, Chuck. What's the right level of R&D spend for this business going forward? And I ask after a quarter where R&D spend as a percentage of revenue came in lower than it's been in a long time, if not ever? 
Charles Kummeth: Yes, it's not a concerted effort to lower spending here. I mean, I'm a innovation person, with 25 years at 3M, so, believe me, I think it's between 8% and 10%. Year-on-year spending in terms of real dollars were up. Just it's -- the mix is changing a little bit there. And, obviously, a business like Bionostics doesn't need a lot. It's an OEM business. So I fully expect that we will hover -- we'll probably be in the closer to 9% going forward in that range. 
Operator: Our next question comes from Matt Hewitt with Hallum Capital. 
Matthew Hewitt: I've got a question. You were able to muscle through some pretty difficult weather, in January in particular. I mean, as we looked at it, we were thinking that there might be 5 to 7 days where you had basically lost from a shipping perspective. You were able to muscle through that. You commented in your prepared remarks about Thermo Fisher and not being able to quantify. I mean, was that really the delta in the quarter? Was that what enabled you to muscle through the weather? 
Charles Kummeth: Well, we had somewhere between 6 and 8 days of impact. As you know, you don't get much more of a run rate base business in ours. And literally, orders are -- come in and go out the same day to a certain degree. And when researchers aren't in the labs due to weather, they're not using our stuff. And they don't need to order more stuff. So we had about, actually, like a $1.4 million hit we quantified due to weather. So that's another 1.5% in growth that we didn't get. But everybody had that as well, so your term, muscling through it, I think is accurate. We had our people out, and our new sales team has been out there working. We had some extra lift that's probably in that range from Fisher, we think anyway. It's kind of working and probably going to be some mass investments going forward, but I really want to see what kind of traction we can really get with our new partner with 680 reps in the field. 
Matthew Hewitt: Okay. And then, secondly, regarding the PrimeGene. Having that complete now, having your fighter brand in China, how should we think about the ramp and how quickly, now that it's under your umbrella, we could see -- I don't -- you commented the 30% for the year, but after 2% here this quarter, and you do have some tough comps over the next few quarters, how quickly can we see that organic growth rates and, quite frankly, the PrimeGene contribution really start to drive China? 
Charles Kummeth: Yes, there's really 2 parts here. I -- we will continue to invest in China, and the Beijing office we opened this year is having some great results. We just hired a new sales director as an example to help get things moving at an increased scale. I think we're going to be in that range. I mean, we've been doing this before. And it seems like the scalability is there. PrimeGene will play into some of that because they're there, and we can localize products. And as you know, the Chinese are very -- those markets, as they devolve in these areas, are very price-conscious, so we'll have, I think, lift there. But it's much bigger than just China. We've tend to use this as a fighter brand worldwide. And in fact, PrimeGene has the few products that are absolutely phenomenal. And we're going to bring those over and market those as R&D facilities. And then we're going to have a lot of products that we feel have become commodities that, as you know, we've been struggling with academically, at least, that we're going to relabel those as PrimeGene and improve that overall portfolio. And that's a global strategy, not just China. But China is the first place to try it out all, get started, get moving. We are -- were starting to integrate already. Things take time. And even though it's all in Shanghai, it's a big city. It takes, with traffic, maybe an hour to get back and forth. So it's going to take a little while. A great team. Been talking to them for 9 months, so we know each other quite well at this point. But there's a lot of work to get done on the branding side, as you can imagine, and the catalogs. 
Operator: Our next question comes from Paul Knight with Janney Montgomery. 
Paul Knight: Chuck, the nature of your deal, is it going to be more I'm taking an investment and then I accumulate an ownership position? Or is it going to be more like PrimeGene? 
Charles Kummeth: PrimeGene is a full acquisition, okay? But CyVek is investment for now. They're a start-up. They've got a thing called the burn rate, right? And I've -- it's difficult to be buying pre-revenue companies. So is taking care of shareholders but I think this is a prudent way to go and make sure that they are -- get to their milestones. If they get to their milestones, which we don't think are that horrendous, then we fully intend to buy them out. In the first level, it'll be a complete buyout. And then there's an earn-out at the second level. And I think we put all those in the 10-Q, 10-K. So that's all out there for public disclosure. 
Paul Knight: What's your targeted operating margin long term? 
Charles Kummeth: Well, there's the instrument side of the business and there's the assay side, right? So I would say, on the instruments side, it's going to be your typical 50%, 55%, like most instrument business try to strive for, and maybe 60% if we get lucky here. We'll see. It's early. It's the kind part they're working on. I'll be -- we're building confidence seems here for instruments, which we don't have really any right now and none on the machine side. But they're a great group. And they are in a great location, and the lead developer has something like 100 patents. I really like what I've seen. I've been, as Jim has as well, been in instrument businesses before. So we like it. The cartridge size is actually much better. Again, as I mentioned, I think of that as a next-generation kind of a parallel ELISA. When you start looking at the value prop for a 4- or 8-analyte ELISA-type system, the numbers could go quite large, especially for a test that happens in under an hour, with pretty much a walkaway mode. There's no tubes, no buffers, no anything. So it's kind of a we'll wait and see. But I think as emerge, and I always run businesses and consumables that they roughly should be about -- within 3 to 5 years, the consumable business should be as big as the instrument side. And so merging those together, let's say, 65%, hopefully, in that range. But it's really an unknown right now. These are all goals. It's a start-up. And we have many machines in beta testing right now. It is working, but, as you all know, a lot of people have been here before, too. There's a lot of homework to get done. So... 
Paul Knight: Will you -- what's your targeted overall Bio-Techne operating margin? 
Charles Kummeth: Yes, I mean, I think as the business stands today, in our current makeup, I'd say the kind of margins that we delivered in Q3 would be something we'd expect going forward in terms of operating margins in the 50% range and gross margin blended in the 70% -- low 70% range. But obviously, depending on how that mix might change going forward, it could alter. But on a standalone basis, that's what I'd expect going forward. 
Paul Knight: And then lastly on the -- with China acquisition and your global initiatives, do you see the tax rate falling? Or where is the trend on tax rate? 
Charles Kummeth: I hope falling, yes. We're now -- now we're passed the comps on the credit, the R&D credit. So as you see, that has an impact. And I don't like sitting at 31% more than anybody else does, but it is what it is until we work on this issue. I mean, China is still a small piece of our business as that continues to grow, outpace the growth of the overall company, it should help the tax rate, given that China's got a lower tax rate than the U.S. does. So... 
Operator: The next question comes from Jeff Elliott with Robert W. Baird. 
Jeffrey Elliott: My first question is on China. Can you walk me through the comp issues that you mentioned January of last year and talk about the pacing you saw in both February and March of this quarter? 
Charles Kummeth: Yes, I just say it's really pretty simple. We had a couple large account buys in January of last year. And again, this is pretty small business base wise on the rest of our business. So that had an impact. Looking forward into February, March, the growth rates month year-on-year are comparable. Historically, this business has been around 18% to 20%. I think at the beginning of last year, just short of 20%. This year, I think, we're going to be well north of 25%. I've been very public about stating our strategy, our goal, is near 30%. I think we got a good shot at near 30%. So going forward it should be that with the investments we're making there in people and buying companies, et cetera, and all the above. So... 
Jeffrey Elliott: Okay, great. Next question, on the U.S. sales force. Can you talk about how the sale force has ramped since you added some headcount there? 
Charles Kummeth: I've got to tell you, when I ran the LCD for Thermo and the division is separate in Thermo Fisher from the Fisher side, which is neutral, as you know. And there's always a lot of channel conflict around that, because, in the case of that, they would -- Fisher wouldn't sell Corning & Eppendorf along with the Thermo brands. And so getting the reps working together to really make that channel model work to leverage the big Fisher was always challenging. We've made it work. They're making it work fantastically now, as you can see, by their progress. They're getting through a stake in a few years, but it's working. On our side here, there's no conflict. I mean, it's worked well. We've got 5 rock star reps that we hired. And I've been with every one of them, and I've talked to every one of them and made sure how they felt about this. And they are open arms over this, and they are working with all the field people. As you know, the -- as part of the arrangement there, there are 30 technical specialists as well, which our people marry up with and work the deals. They couldn't be happier or more pleased to have the help out there and then drive this big engine. So we're still very bullish that this is going to be a good thing. Now as I mentioned before, it's not to double the accompany or anything like that, but we expect to have, I'd say, compared to historically, our third-party sales with Fisher before we did all this, over the next 2 or 3 years, will probably triple the amount of volume we pushed through. With that first -- first-level amount, we're probably in the swap range. But we're not seeing, as I said before, a lot of margin differences either. They're paid really on the gross uplift. And it seems to be working. But the attitudes are fantastic. They featured us at their show. We're at the platinum level. So it's what they're trying to move and sell. And as I mentioned, with the what the million products that Fisher is moving and trying to always do it day in and day out on all these laboratories, you don't get a lot of a PI's time when you're in there pushing pipetted tips and flaps and cell factories, et cetera, and reagents. You start bringing in the kinds of high-level content that we have and then you start getting notice from decision-makers in the laboratories. And that allows them, of course, to pull through many, many more of their products, which is why they want to do this. Why it's so important to them and probably, to a large degree in the reagent side, why they like the life tech business as well. So long term, it's going to be very good for them. They're starting to figure out how to be a high-content supplier, and we're here to help them with our piece of it in North America. 
Jeffrey Elliott: Okay, great. And just lastly, on capital deployment. Obviously, over $370 million in cash. Can you talk about what you're looking at in terms of capital deployment? And how big of an acquisition do you think you could pull off at this point? 
Charles Kummeth: Okay. Well, let me see. We still have no debt, and we're still generating the same kind of cash flow we have been. So you got the numbers like we have. You start putting in with what we can do on a term A and term B and we're well north $1 billion. We took a shot at a HyClone, which is up in that range, and came in second. Hard to beat GE when they get serious, of course. But we have that kind of wherewithall. We haven't done anything yet larger because we're being very careful and whatever we do, as I've mentioned many times, you're going to see direct synergies. So with PrimeGene, it's a no-brainer. With CyVek, it's a no-brainer around synergies with our reagents. And if we do a larger deal, you'll see the same kind of strategy follow. So we have the ability do something much bigger. And obviously, we have a lot of things we're looking at. My team and I have a strong M&A background, and we're hoppering [ph] and filtering and ranking and well over 60, 70 different targets worldwide. As you know, this is a very, very fast-moving industry. And every month, there's another couple of new potentials out there, CyVek being as a good example in the last year. It's a great new technology. So there are other great -- other assets that are larger, and we're looking at all of them. And if something makes sense, we'll do it. And if not, we won't. So... 
Operator: And the final question in queue comes from Amanda Murphy at William Blair. 
Amanda Murphy: I just had one quick one. Could you just talk a little bit about the performance of the business by business line, meaning proteins, antibodies and then [indiscernible]? 
Charles Kummeth: Yes. Amanda, sorry. We don't ever comment on that. 
Amanda Murphy: Okay, then it'll be a quick question. I guess... 
Charles Kummeth: I mean, we have -- we are out there showing the split, roughly all about 1/3 each in the company. Starting to change some. Hopefully, the PrimeGene, we'll see more growth in proteins and kind of cut off the small amount of erosion that we're seeing in the low end. But we don't comment on results in each area. 
Amanda Murphy: Okay. And then, I guess, I'll sneak another one and then. So the Fisher agreement, can you just maybe remind us what components of your business that sort of benefits? Is it just the U.S.? Or is it globalized. I don't recall exactly? 
Charles Kummeth: It's really all North America. It's U.S. and Canada, primarily. And I will mention, in Canada, we go through a distributor and I'm not very happy. And that we should be much bigger. Fisher has a lot of reps in Canada. So we're definitely putting together trying our plans up to work in Canada, and which they like as well because there's no term channel swap there at all. Everything we do there is virtually incremental growth. So it's -- in a way, it's kind of low-hanging fruit, we think. So lot of emphasis in Canada, but it's U.S. and Canada primarily. 
Operator: There are no other questions in queue. 
Charles Kummeth: Well, we can give it a minute or 2. 
Operator: [Operator Instructions] And there are no questions in queue, sir. 
Charles Kummeth: Okay. Well, I guess, with that, we'll end this call. I want to thank you all for attending. We've continued to make, I think, reasonable progress here. Pretty big moves these company made year-on-year in terms of year-to-date organic growth rates. I think our investments have been the right investments, and they're starting to work. They're not too expensive either, but we will continue to go forward with that strategy as well. And I look forward to speaking to all of you offline and in the near future. Thank you.